Operator: Ladies and gentlemen, thank you for standing by. Welcome to Clear Channel Outdoor Holdings, Inc.'s 2024 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the conference over to your host, Eileen McLaughlin, Vice President, Investor Relations. Please go ahead.
Eileen McLaughlin: Good morning and thank you for joining our call. On the call today are Scott Wells, our CEO; and David Sailer, our CFO. They will provide an overview of the 2024 third quarter operating performance of Clear Channel Outdoor Holdings, Inc. and Clear Channel International, B.V. We recommend you download the 2024 third quarter earnings presentation located in the Financial Information section of our Investor website and review the presentation during this call. After an introduction and a review of our results, we'll open the line for questions and Justin Cochrane, CEO of Clear Channel UK and Europe will join Scott and Dave during the Q&A portion of the call. Before we begin, I'd like to remind everyone that during this call, we may make forward-looking statements regarding the company, including statements about its future financial performance and its strategic goals. All forward-looking statements involve risks and uncertainties, and there can be no assurance that management's expectations, beliefs or projections will be achieved or that actual results will not differ from expectations. Please review the statements of risk contained in our earnings press release and our filings with the SEC. During today's call, we will also refer to certain measures that do not conform to generally accepted accounting principles. We provide schedule that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of the earnings presentation. Also, please note that the information provided on this call speaks only to management's views as of today, October 31st, 2024, and may no longer be accurate at the time of a replay. Please see Slide 4 in the earnings presentation. And I will now turn the call over to Scott.
Scott Wells: Good morning, everyone, and thank you for taking the time to join us today. We delivered consolidated revenue of $559 million during the third quarter, representing an increase of 6.1% or 5.7%, excluding movements in foreign exchange rates, in line with our guidance and with growth across all our business segments. Our Americas segment delivered growth across all regions, driven in part by an improvement in national advertising. Airports continues to benefit from strong demand across all channels, and Europe-North delivered another robust quarter with gains across the majority of the portfolio. We continue to see the benefits from our initiatives aimed at leveraging our technology investments and expanded sales teams to maximize our performance in the US. Utilizing our digital expertise and our RADAR data analytics resources, we're making inroads into verticals that have traditionally not relied on out-of-home to reach their target audiences. For example, our recently announced partnership with Circana further strengthens our RADAR platform and provides CPG advertisers who under-index in our industry with the ability to effectively deliver their message via out-of-home, while measuring the impact of their campaigns on household purchasing behavior. In the pharma vertical, we've now reached a point where we can share some really compelling results from past campaigns, which is helping to open doors for us. We recently served as a sponsor at Digital Pharma East, one of the largest pharma marketing conferences nationally. This was a first for us and the reception was promising. We are now at the table with numerous pharmaceutical companies and their agencies discussing potential campaigns in the year ahead. With regard to our domestic footprint, we're excited about the recent award of a large 15-year contract for roadside advertising assets controlled by the New York MTA. This contract substantially expands our footprint in the New York tri-state area and elevates our ability to deliver market-wide programs for national and local advertisers in a complementary way. So we're making notable progress in pursuing our plan as we further scale our platform in the US and continue to focus on expanding our revenue sources, which sets us up well as we look to close out the year and build on our momentum going into 2025. In the current quarter, we are continuing to see revenue growth in America. Our Airports business remains strong, although we're now up against tougher comps, so the rate of growth will naturally moderate. Similar to the Airports, Europe-North is also up against tough comps and could post roughly flat revenues in the quarter. As I noted on our last call, we believe we are turning the corner on cash generation. AFFO exceeded discretionary CapEx in the third quarter and we expect the same in the fourth quarter with continued improvement into 2025. We believe this creates the option to start to organically reduce our debt, a central goal in our focus on enhancing shareholder value. On the M&A front, negotiations for the sale of Europe-North are continuing, and we remain committed to exiting Europe at a price that reflects the value being delivered by this business. Additionally, you may have seen that JCDecaux terminated its agreement to acquire our Spanish business after deciding to withdraw its regulatory filing with the Spanish competition regulator. Our understanding is that the regulatory commitments exceeded what JCDecaux was willing to pursue. The good news is that our Spanish business continued to perform well throughout the process, and we are well positioned to bring it back to market in the relatively near future. Lastly, our LatAm sale process is ongoing, and we will provide further updates in due course. So overall, we're pleased with the progress we are making on multiple fronts, and I'd like to thank our company-wide team, especially in Europe and Latin America for their continued commitment to executing on our strategic road map and pursuing our long-term vision. With that, let me hand the call over to Dave.
David Sailer: Thanks, Scott. Please see Slide 5 for an overview of our results. As a reminder, Europe-South is included in discontinued operations. Additionally, during our discussion of GAAP results, I'll also talk about our results, excluding movements in foreign exchange rates, a non-GAAP measure. We believe this provides a greater comparability when evaluating our performance. Direct operating expenses and SG&A expenses include restructuring and other costs that are excluded from adjusted EBITDA and segment adjusted EBITDA. And the amounts I refer to are for the third quarter of 2024 and the percent changes are third quarter 2024 compared to the third quarter of 2023, unless otherwise noted. Now on to the third quarter reported results. As Scott mentioned, consolidated revenue for the quarter was $559 million, a 6.1% increase. Excluding movements in foreign exchange rates, consolidated revenue was up 5.7%. Loss from continuing operations and consolidated net loss, which includes the loss from discontinued operations were both $32 million. Adjusted EBITDA for the quarter was $143 million, up 2.6% and adjusted EBITDA, excluding movements in foreign exchange rates, was up 1.9% from the prior year. AFFO was $27 million in the third quarter, a 9.1% increase from the prior year. Excluding movements in foreign exchange rates, AFFO was up 5.5%. On to Slide 6 for the Americas segment third quarter results. America revenue was $293 million, up 5%, with revenue up in all regions driven by increased demand for both digital and printed billboards and the deployment of new digital billboards. Digital revenue, which accounted for 36.1% of America revenue, was up 8.4% to $106 million. National sales, which accounted for 36.3% of America revenue, were up 8.4% on a comparable basis. Local sales accounted for 63.7% of America revenue and were up 3.2% on a comparable basis. Direct operating and SG&A expenses were up 4.5% to $165 million due in part to lower property taxes in the prior year related to a legal settlement as well as higher compensation costs and production expenses related, in part, to increased revenue. Segment adjusted EBITDA was $128 million, up 5.8% with a segment adjusted EBITDA margin of 43.8%, a slight improvement from the prior year. Please see Slide 7 for a review of the third quarter results for Airports. Airports revenue was $82 million, up 9%, with strong advertising demand led by the Port Authority of New York and New Jersey airports. Digital revenue, which accounted for 51.1% of Airports revenue, was up 0.8% to $42 million. National sales, which accounted for 58.6% of Airports revenue, were up 8.7% on a comparable basis and local sales accounted for 41.4% of Airports revenue and were up 9.3% on a comparable basis. Direct operating and SG&A expenses were up 8.9% to $65 million. The increase is primarily due to site lease expense driven in part by higher revenue. Segment adjusted EBITDA was $17 million, up 9% with a segment adjusted EBITDA margin of 20.6% in line with the prior year. On to Slide 8 for a review of our performance in Europe-North. My commentary on Europe-North is on results that have been adjusted to exclude movements in foreign exchange rates. Europe-North revenue increased 8.6% to $162 million, with revenue up in most countries due to increased demand, most significantly in Sweden, partially offset by a loss of a transit contract in Norway. Digital accounted for 58.1% of Europe-North total revenue and was up 12.4% to $94 million. Europe-North direct operating and SG&A expenses were up 12% to $136 million due to higher site lease expense, property taxes and compensation as well as higher rental costs for additional digital displays. Europe-North segment adjusted EBITDA was down 4.5% to $27 million, and the segment adjusted EBITDA margin was 16.7%, a decline from the prior year. Moving on to CCIBV on Slide 9. Clear Channel International, B.V., which I will refer to as CCIBV, is an indirect wholly owned subsidiary of the company and the borrower under the CCIBV term loan facility. CCIBV includes the operations of our Europe-North and Europe-South segments and prior to September 17th, 2024, also included Singapore, which is included in other. The financial results of Singapore have historically been immaterial to the results of CCIBV and revenue and expenses for the Singapore business were further reduced in the first quarter of 2024 due to the loss of a contract. On September 17th, 2024, CCIBV sold its equity interest in the Singapore business to another indirect foreign wholly owned subsidiary of the company. As the current and former businesses in the Europe-South segment are considered discontinued operations, results of these businesses are reported as a separate component of consolidated net income in the CCIBV consolidated statement of income for all periods presented and are excluded from the following results. CCIBV results from continuing operations for the third quarter of 2024 as compared to the same period of 2023 are as follows: CCIBV revenue increased 8.1% to $166 million from $154 million. Excluding the $4 million impact of movements in FX, CCIBV revenue increased 5.4% as higher revenue from our Europe-North segment, as I just mentioned, was partially offset by the loss of a contract in Singapore. CCIBV operating income was $5 million compared to $9 million in the same period of 2023. Now moving to Slide 10 and our review of capital expenditures. CapEx totaled $31 million in the third quarter, a decrease of $2 million over the prior year. Now on to Slide 11. During the third quarter, cash and cash equivalents increased by $12 million to $201 million. Cash paid for interest during the third quarter decreased $2 million compared to the same period in the prior year. Our liquidity was $376 million as of September 30th, 2024, down $29 million compared to liquidity at the end of the second quarter due to the previously announced $34 million decrease in the borrowing limit of the revolving credit facility. Our debt was $5.7 billion as of September 30th, 2024, in line with the second quarter. Our weighted average cost of debt was 7.4%, also in line with the second quarter. As of September 30th, 2024, our first lien leverage ratio was 5.34 times. The credit agreement covenant threshold is 7.1 times. Now on to Slide 12 and our guidance for the fourth quarter and the full year of 2024. All consolidated guidance and Europe-North guidance excludes movements in foreign exchange rates with the exception of capital expenditures and cash interest payments. For the fourth quarter, we believe our consolidated revenue will be between $628 million and $653 million, representing a decline of 1% to an increase of 3% over the same period of the prior year. We expect America revenue to be between $308 million and $318 million, and Airports revenue is expected to be between $111 million and $116 million. Europe-North revenue is expected to be between $185 million and $195 million. Moving on to our full year guidance. We expect consolidated revenue to be between $2.222 billion and $2.247 billion, representing a 4% to 6% increase over the prior year. Americas revenue is expected to be between $1.141 billion and $1.151 billion. Airports revenue is expected to be between $356 million and $361 million. Europe-North revenue is expected to be between $648 million and $658 million. On a consolidated basis, we expect adjusted EBITDA to be between $560 million and $580 million. AFFO guidance is $90 million to $105 million. Capital expenditures are expected to be in the range of $130 million to $140 million with a continued focus on investing in our digital footprint in the US. Additionally, we anticipate having cash interest payment obligations of $137 million in the fourth quarter of 2024 and $420 million in 2025. This guidance assumes that we do not refinance or incur additional debt. And now let me turn the call back to Scott.
Scott Wells: Thanks, Dave. To recap, business trends remain positive across our portfolio and we remain on track to deliver our full year 2024 financial guidance. As we told you at the beginning of the year, 2024 results have been somewhat lumpy quarter-to-quarter based on 2023 comparatives. But as we look at the full year, we see real progress and we're encouraged by the early renewal and development efforts for 2025. This is because we are making inroads in our efforts to expand the range of advertisers we can serve, increase utilization across our platform and maximize revenue. In addition, the expansion of our footprint in New York through the new roadside contract further increases the size of the audiences we can deliver. We are committed to executing our strategic plan, including continuing the sale processes related to our international businesses. Our ultimate goals include organically growing cash flow and reducing leverage on our balance sheet. Our progress is evident in our third quarter AFFO, which exceeded our discretionary CapEx. And as noted, we expect the same in the fourth quarter as well as improvement in 2025. And now let me turn over the call to the operator and Justin Cochrane will join us on the call.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Cameron McVeigh with Morgan Stanley. Please proceed.
Cameron McVeigh: Hi. Good morning. I'd be curious, any more color on the New York MTA roadside contract, maybe why now and any more economics behind the deal? And then secondly, could you talk a bit more about the drivers of the improved national ad spend? We've seen some pressure on national outdoor over the past few quarters. So curious, just in your view, what has changed and if that's structural? Thanks.
Scott Wells: Hey, Cameron. Good morning. Thanks for the questions. I'm going to start actually with your second one first, and I'll come back to the MTA and then I'm going to hand it to Dave to talk a little bit more about the contract itself. But just on national ad spend environment, so there are things that contributed that we drove this quarter like our emphasis on things like CPG, things like pharmaceuticals, things like telecom. And there are things that are just math. And I think both of them conspired to make the number at the kind of high single-digits range. And I would just say that it's definitely better than it was a year ago, but there is nothing linear about the way national ad spending is evolving. We continue to see a media and entertainment space that's going through a lot of turmoil and is not bouncing back to the kind of pre-strike kind of levels. I think everybody is aware of the competitive environment there and all of the different activities that are going on. And so that vertical hasn't really come back. And then we have, I mean, it's not terrible, but it's not great, and it is an important vertical within our portfolio. And then there are just puts and takes. Business services continues to be a very strong performer at the local level. So anyway, you asked about national, so I'll pause there on the national. So it's partly things that we're consciously doing, and it's partly just math. And I'd say that the basic national market looks a lot like the basic national market we've been looking at the last several quarters. So it's lumpy, things are a little episodic, things are a little late to come in, but there's money out there to be had and the onus is on us to go get it. Which brings me to your first question, which I'll answer second, which is about the MTA, and you started off with why now. Just to be really clear, these are roadside bulletin assets. They are assets that kind of stretch around the tri-state area on property that the MTA controls. So this is all aboveground stuff, and it's all kind of billboard and poster type inventory. It's not shelters, it's not transit assets per se. And this contract was consolidated back in 2017 and we actually had some of the properties prior to that. That's not really here nor there other than just to emphasize, this is our core business. This is not some different adjacency. It is something that is going to give us a better footprint as we negotiate national contracts that we think will have a knock-on effect in other markets. And it will certainly be good for our New York operations, both locally and nationally because it's going to give us the ability to be relevant to a whole bunch of advertisers that we didn't have great solutions for. Our core New York City assets prior to this contract coming online, which is actually happening tomorrow, the beginning of November, I guess, effectively, Monday is really the first operational date. But the effect of it will be to give us a much richer story in terms of the audience we can deliver in New York. And it's a mix of digital and printed assets. And I'm going to let Dave get into a little bit of the contract details, but that's sort of the strategic rationale.
David Sailer: Yes. Thanks, Scott. I mean from a financial standpoint, I guess the first thing I'd talk about is the contract starts, as Scott said, on November 1st. There's definitely going to be a little bit of a ramp period as we get into it. It's obviously two months of the fourth quarter. So when, at a high level, when I'm thinking about this contract as we get into 2025, this will add probably a couple of points of growth from a revenue standpoint. So it's very strong from a top line standpoint, very good assets, digital and also printed assets. And as Scott mentioned, we did have some of this inventory prior. So we're very familiar with it. But it is a municipal contract, the MPA contract, so it is going to be, there's a MAG attached to this contract. It's a very high rev share. There is some a little bit of capital recovery, but you're going to have a revenue share in the high 70s. So from a margin standpoint, it's not the normal flow-through of the out-of-home space, but it's absolute increase in our margin dollars. So a contract we're absolutely looking forward to. As I think about it in the fourth quarter, you're probably going to have a little bit of a margin impact just because you're ramping the contract. Obviously, the MAG starts, you got to match that from a revenue standpoint. So there'll definitely be obviously some top line growth in the fourth quarter, a little bit of impact from a margin standpoint in the fourth quarter. So as I said, as we head into next year, you'll have that impact on the top line of a couple of points. And there may be a little bit of a margin impact as we get into 2025, but it's definitely more from a top line standpoint, as we grow the business.
Scott Wells: Yes. And I think on that point, I appreciate Dave saying that there may be a margin impact on it. I know how important operating leverage is to everybody who follows our business. Operating leverage is definitely going to be impacted as we absorb this contract over the next year. Once we get it fully up and operational, you'll see operating leverage get back to a more normal state. But I just don't want anybody thinking that this is going to flow through, that 2025 is going to be a normal year from an operating leverage perspective because this is a big contract, and it will, again, just math, impact the margin percent over the course of that. But we should see it, as the year goes on, normalize and then future years will look more normal in operating leverage.
Operator: Our next question is from Daniel Osley with Wells Fargo. Please proceed.
Daniel Osley: Good morning. I just had two questions. The first, can you unpack any political benefit you had in Q3 and maybe your expectation for Q4, whether it be from crowd out or direct dollars? And then secondly, how should we think about Airports growth moving forward? It seems like you fully lapped the ramp of the Port Authority contract and your Q4 guide implies a low single-digit growth range. So is that something we should be extrapolating moving forward or is there anything that moves that one way or the other? Thank you.
Scott Wells: Thanks, Daniel. First off, on political, we definitely have seen some political money come in. We've seen it in our programmatic channels, we've also seen it in our direct channels. And it's come from the campaigns themselves as well as from PACs. The numbers are not enormous. You're talking about over the course of the year, a few million dollars in terms of the impact, so I don't think you're going to see us see the boom up, the boom down that you see in other local oriented media. It just is not -- it's not a huge driver for us. But it is something we've had some success with this year. It is something that when the dust settles on Q4 and we finish, we are in a bunch of swing states, when the dust settles on it, we should see the percentage growth in political will be big for us, but it will be on a very, very small base. And I don't expect to be coming to you hat in hand using it as an excuse a year from now. So hopefully, that dimensionalizes political for you reasonably well. On Airports moving forward, I think we've been signaling for a while now, and Dave, keep me honest on this one. But I think we've been signaling for a while now that as the build-out matures in the Port Authority and we don't have any other major contract puts and takes that, that kind of GDP plus growth that normal out-of-home has over sustained period is probably the right way to think about Airports. There are definitely things we're working on to enhance our offer and to further innovate in terms of how we go to market. But this team has been on an absolute tear for the last probably six or seven quarters. And I think you're going to see a little bit of a pause there and probably in the next two or three years, we'll have some puts and takes in terms of contracts. There's nothing like material coming up or anything like that. But you're seeing the airport business, they were hit so hard by COVID, a lot of the airport authorities went to direct extensions as opposed to RFPs. So I think it's been a little bit of an unnaturally quiet period in terms of contract stability. Again, nothing like big that's in the immediate headlights, but I think you're going to start to see that crop up in the next couple of years.
Daniel Osley: Thank you.
Operator: Our next question is from Avi Steiner with JPMorgan. Please proceed
Avi Steiner: Thank you and good morning. I've got three here, if I can. One, I'll start on the balance sheet. Free cash flow, as we look at it positive in Q3, the commentary pointed to further improvements broadly. In the context of those comments and organically reducing debt with free cash flow, I'm just wondering how you think about balancing some discount available on some of your debt versus some earlier maturities? And I've got two more. Thank you very much.
Scott Wells: Do you want to take that one, Dave?
David Sailer: Yes, sure. No, look, thanks for the question, Avi. From a, yes, from the free cash flow standpoint, I feel pretty good where we are right now. I mean we signaled in the call last quarter about being our AFFO covering our discretionary/growth CapEx to be positive in the second half, and we were positive in the third quarter, and we're going to be positive in the fourth quarter. And I can see that progressing as we get into 2025. So I think that's a good milestone for the business. As far as when you're talking about the paydown of debt, yes, as we start producing free cash flow for the business, absolutely, that's a definite opportunity or outcome with that cash. And, yes, we would look at our -- the pricing of our bonds, right now, the prices are actually pretty strong if you look across our portfolio of assets. But I think that's something we're going to get into as we get into the strategic initiatives and as those progress, I think that's the conversation where we're looking at debt paydown from that standpoint first. And then as we're, obviously, generating free cash flow, that is just another positive outcome from that cash flow. Do you invest in the business or is there certain -- are there ways that we can go after our debt to pay that down. So that's definitely top of mind.
Avi Steiner: Great. And my second question, I just want to dig into the full year guide a little bit more and what it implies for EBITDA, which I think is slightly down in the fourth quarter. And if you mentioned this already, I apologize, but anything to call out on the expense side or otherwise that by segment that might account for that? And then I have one last one. Thank you very much.
David Sailer: I mean when I'm thinking about the guide for the fourth quarter, when I'm thinking about it from a top line standpoint, I mean, for the full year, America at roughly 4% to 5%, 3% to 7% in the fourth quarter. And right now, for Airports and America, and I can say this for Europe as well, in the third quarter, we've had record revenue for Airports. We're going to continue that in the fourth quarter. The fourth quarter of last year was the biggest revenue quarter we've ever had in Airports at $111 million. We're looking to exceed that. So when you look at the percentages, again, they're probably not the gaudy numbers that we've been seeing over the last six to seven quarters. But when we've talked about that, as we come up across those comps that will have an effect from a growth rate standpoint. And then Europe-North, they're coming off of 13%, 14% growth in the fourth quarter of last year. Again, record, we had a record quarter last year in the fourth quarter. We're coming up against those comps and seeing a little bit of softness, I'd say, in the UK. And I think as the government is kind of rolling out in their budgets and the conversations there, I think, that's kind of hurt growth a little bit in the fourth quarter for Europe. So that's probably when you think about the weakness of the guide in the fourth quarter, that's probably where I'd point you to.
Scott Wells: Yes. And on the cost side, there have been some tax increases in Europe, in particular, in the UK in particular, that have had impact.
David Sailer: You have that. And there's also a new, a couple of new contracts ramping overseas. And as you're deploying cost as releasing certain assets, that's driving a little bit there as well. But you always see that when you're ramping new contracts.
Avi Steiner: That's definitely helpful. I appreciate it. And if I can end up on the Europe side, and thank you again. So the Spain sale sidelined for now, I'm just wondering if it changes your thoughts around the process of Europe overall. Scott, you mentioned you want to price that reflects the value of the business. I think everyone can get behind that. But given just how long this has gone on, I wonder if instead of a sale, the company might be considering perhaps a spin-off for the business, which may not give you the same amount of immediate cash, but maybe allows you to kind of focus on the US and put all those assets in one business. I'm curious how you think about that and thank you.
Scott Wells: Hey, Avi, you always ask the easy ones. Thank you for that. So I know Spain is on -- just reading the notes that people wrote this week, I think Spain is on people's minds in different ways. And I think data point one on it is, it's just an example of the regulatory state that we live in and that we have to take seriously the regulatory hurdle that we have. We and JCD believed when we inked the deal 17 months ago that this would be able to be done. And it is once that deal is inked, it is on the onus of the buyer to work with the regulatory commission. And for whatever reason, it didn't get across the hurdle. I think some of you recall that we announced Italy and Spain at the same time. And Italy was the same scenario where we're competitors in that market. But for whatever reason, the dynamics of it, the size of the deltas, whatever, the nature of the regulatory commission, Italy went right through and Spain, obviously, didn't end up working. So we just can't ever take lightly the regulatory piece. I think the second thing on this that I've heard people ask about is, does this mean that you can't contemplate a strategic buyer in Northern Europe? And I'd just urge everybody to think about the fact that strategic is in the eye of the beholder, and it doesn't necessarily mean that the person operates roadside assets or outdoor assets, I should say. It might be that they're a media company. So I wouldn't rule out the idea that there are strategic entities that would be interested in the business beyond just the names that you know in out-of-home advertising. And on your question about structuring, Avi, we appreciate that this has taken some time, but we also will push back on the fact that interest rates went through the roof and we had a war launch and a lot of different turmoil in the different markets. And I give our European team just a ton of credit for the performance that Europe-North has put in, which we've called attention to the last couple of earnings calls. And the Spanish team, despite having had a sale inked and having a lot of uncertainty about exactly what the form of the new business was going to be, just put their heads down and crushed it. And that is, I think, what speaks to the character and capability of our company and that I'm not going to get over my skis on speculating about how I'd structure this differently than a sale process until such point as I believe a sale process is not practically possible, and I am not anywhere close to that point. So hopefully, that gives you an answer without getting into all of the -- I mean, you and I could spitball for hours and all the different cool things that we could do to extract money from this and manage it differently. But while we're on the stated strategy of selling the markets and working a process, I'm not going to indulge in that on our public earnings call. So hopefully that gives you what you need.
Avi Steiner: Appreciate it as always. Thank you very much, everyone.
Operator: Our next question is from Lance Vitanza with TD Cowen. Please proceed.
Lance Vitanza: Hi, guys. Thanks for taking the question. Sticking with the Europe-North, I was surprised given the strength in revenues on the one hand, but costs obviously grew more quickly. And could you sort of break that down in terms of what in that cost side is recurring versus non-recurring? And really what it means for margins in Europe-North going forward? You mentioned higher site lease expense, and I'm wondering, was that unfavorable renewals or were there perhaps some COVID abatements that rolled off? And then related to that, the impact of Norway, which you called out. But could you sort of put some numbers around that? Is it possible to talk about what the revenue and EBITDA growth would have been ex that Norway contract going away? Thanks.
David Sailer: Yes, I'll start, Lance, and then I'll pass it off to Justin probably to fill in more of the details. But look we have a few contracts that are ramping that obviously are an increase in cost, and you get that in the beginning. We have property taxes, which is not a onetimer that have increased in the UK. But I'd say more on the rental side, that will normalize over time. But from a margin standpoint, I don't expect there to be major changes going forward as we're looking at history and kind of where we are today. And look the business grew quite nicely from a top line. And the expenses, I'd say, as I'm going through the details, I think site lease is kind of like your normal increases that you're going to have and it could be a little bit lumpy quarter-to-quarter. But I probably point to some of the rental costs. There's a little bit on production, that was probably a little bit higher than normal. And then you have -- the business is actually performing pretty well, so you add in bonus from an incentive comp standpoint, that's kind of driving a little bit of that from a margin standpoint. But Justin, I don't know if you want to go into more details even from a contract standpoint.
Justin Cochrane: Yes. Thanks, Dave. I've got a couple of things to add. I guess the Norway thing is a bit of a red herring. It was a big revenue contract, but it was a low-margin contract. So there's really no material difference from that. As Dave said, the underlying business margin year-on-year is actually about the same. There are a few small one-offs here and there, but it's nothing material and nothing I'd expect to change the overall margin profile going forward. And if we hadn't had those in the quarter, we would have had a similar margin to prior year. So I don't think there's anything structural that shifted. I think it's a few small things that made the margin come down slightly just in this quarter.
Lance Vitanza: Thanks so much.
David Sailer: Thanks, Lance.
Operator: Our next question is from Aaron Watts with Deutsche Bank. Please proceed.
Aaron Watts: Hi, everyone. Thanks for having me on. Just two questions for me. You've indicated in the past that cancellations have been a precursor to downturns in your business. I think as of the last call, you hadn't seen any notable activity on that front. Is that still true today? And any early indications from your ad clients on commitments for early 2025? And then secondly, on the national business here in the US and turning the corner into -- in fourth quarter and turning the corner into 2025, are you feeling any headwinds from all the streaming ad inventory that has come online this year? Do you think that's part of the reason for sustained choppiness on national throughout the last 12 months and something you might expect to continue going forward?
Scott Wells: Thanks, Aaron. Yes. No, good couple of questions. So on the cancellation front, no, we have not seen an uptick in cancellation activity. And, yes, the early 2025 conversations are pretty encouraging. We are very early into that renewal season, but we are encouraged by the number of parties that are looking to renew and that are looking to renew potentially with expanded commitments. So it's way, way, way too early to be guiding on 2025. So please don't any of you ask me to give you what percent are we going to call for 2025. But I do think that we are positioned well heading into 2025. On national, the money is there. I think that is the critical thing. And so the onus is on us to figure out how to tap that money. And whether that's bringing an advertiser to an agency, bringing an idea to an advertiser and getting the advertiser to advocate that to an agency, which is something we're doing increasingly or whether that's being particularly creative in how we're packaging solutions when we get RFPs, which is kind of the core way a lot of the national gets done. But you have heard us talk about the efforts that we've gone on in things like pharma and CPG and beer. We are getting very close to bringing somebody in to help us focus on automotive. So that's an area that I think you'll hear us talking more about as we go. We have existing relationships in telecom and in auto insurance that are important categories. Media and entertainment is an important category where we have relationships at the advertiser level. So we are looking to leverage those advertiser level conversations and help them all see how out-of-home can amplify what they're doing in other places. I can't really comment on cross pressure from all of the different streaming inventory that's come online. I do think that when I look across our global portfolio, I see us getting more TV budgets in every country other than the US. And so I would attribute at least some of that to the number of video options that there are in the US. That would be more than just the streaming folks, but certainly, the streaming folks are probably having some impact there. But I really don't think we should, as an industry, accept that as an excuse, the fact that we don't have video. It's a challenge. But the reality is that our assets amplify video and that smart advertisers use a mix of different types of advertising to land their campaigns in the most cost-effective way. The onus is on us to prove to them that that's the case and get that done. So that's what we're focused on national. I don't think it's going to become less choppy anytime soon, just given the general degree to which there's very regular CMO changes. There's a lot of CEO changes going on in the world right now, too. So there's no shortage of things that cause people to change strategy and change direction. The critical thing for us is to be at the table with the right people so that when those changes come down, we're part of that conversation.
Aaron Watts: Very helpful. Thanks, Scott.
Scott Wells: Thanks, Aaron.
Operator: Our next question is from David Karnovsky with JPMorgan. Please proceed.
Kiscada Hastings: Hey, this Kiscada Hastings on for David Karnovsky. Just had a question on local. It's continued to be an outperformer for you and the industry. The macro has been supportive, but could you talk about if there are any other secular dynamics to consider and how some of the major categories like maybe legal or services are approaching billboard? I'm trying to get a sense of the sustainability here beyond economic considerations. Thank you.
Scott Wells: So that's a broad question. And there's no question that legal has been an important vertical for us and the dialogue that we have with the legal entities. And I talked a minute ago about some of the verticals that we're focusing on nationally. Legal is one we've been focused on at the local level for some time, and we have individuals in our markets who are very fluent in the strategies, the different legal service providers are pursuing and how we can complement them. We strive to do that also with things like auto dealers and restaurants, retail, those kind of areas and are working in different degrees to get after it. But I think the core thing is that local advertising market continues to very much be in play among local, other local media, possibly including things like search as a local media because it can present as an intensely local as can social. And so the local market scrum is lively and vibrant, and we are expanding our teams locally. We're expanding capabilities locally. We're training people up on how to sell in conjunction with digital and how to amplify digital campaigns. So there's a lot of things we're doing to strive to keep that part of things going. And I think the other element of local is the local agencies behave in a somewhat different fashion than the national like large holding company agencies do, and that creates some opportunities at the local level. So the good news is we are an intensely local medium. We're a medium where people like to see their product supported at that local level and feel good that we've got a good runway of growth opportunity there when you just think about the amount of advertising expend at the local level and our relative share of it.
Kiscada Hastings: Awesome. Thanks so much.
Operator: Our final question is from Patrick Sholl with Barrington Research. Please proceed.
Patrick Sholl: Thank you. Good morning. I was wondering if you could talk on the Airport side with the kind of slower growth in digital from that segment. And then also circling back to the MTA. I guess in sort of adding and ramping up a contract of that size, I guess, how do you go about like limiting some of the cannibalization from other assets in that market -- in the market?
Scott Wells: Great. So Pat, let me start on the digital growth in Airports. I think Dave referenced this a minute ago, but our comp, we have been setting quarterly records in Airports for a number of quarters now, probably going back to the early part of 2023.
David Sailer: Yes.
Scott Wells: So we have been growing that space pretty substantially. When you think about the split between digital and printed and Airports, what you've really seen, if you go back and you look at our digital growth during those periods, it was the main driver for much of that time. And I think partly what you're seeing is just a little bit of rebalancing. And it can be only a couple of deals can swing you one direction or another on this in terms of if people are going for domination on printed assets, it can cause the printed number to spike up. And I don't have kind of a campaign-by-campaign play. But if you think about just what the advertiser is trying to accomplish, a lot of times, they're trying to dominate the share of voice in a particular location. And a great way to do that is on the printed assets. I mean we see that I think people have expected for years that we were going to see the printed roadside assets shrink while the digital assets grew. And the digital assets have grown, but the printed have held their own and in most quarters have shown some growth. And this quarter, it was pretty healthy growth that we had the roadside printed. So I think it's a little bit of advertiser preference and a little bit of how the campaigns are laying in. I certainly am not hearing anything that suggests there's any issue in digital sales in the airports. I think it was probably just a couple of print heavy share of voice heavy campaigns that came in, Pat. So that's on the airports digital growth, and hopefully, that clarifies it for you. On the New York inventory, the reality for us is that our presence in New York is disproportionately in Times Square and on large assets at choke points like tunnels and bridges. We don't have -- prior to this contract activating tomorrow, we didn't have a particularly robust sort of run-of-market kind of distribution. This gives us a really healthy distribution along and around the kind of I-95 and LIE corridors that we really shouldn't expect that there's going to be a whole lot of cannibalization for it. I mentioned briefly at the outset, we operated a portion of these assets, nothing like the whole portfolio we just picked up, but maybe 20% of the portfolio we picked up prior to 2017 when MTA consolidated and bid out that group of assets the first time. So it's areas we're familiar with and it's areas that we know well, but there's not a lot of other assets of ours to take things off of. So this should be very largely incremental for us. Hopefully, that answers your questions.
Patrick Sholl: Yes. Thank you.
Operator: This will conclude our question-and-answer session. I would like to turn the conference back over to Scott Wells for closing remarks.
Scott Wells: Great. Well, we appreciate the questions and the engagement. I think the thing I'd just end on is that, in this season of uncertainty around the election and in the ongoing uncertainty around macro direction of the country and what lies ahead, when I look at our business, we are looking at records across all of our principal lines of business in Q3. And a healthy business should be setting records regularly. So there's nothing particularly that I want to thump my chest on, on that. But I just want to call out that there has been this sustained concern about what was around the corner and where things were. And I'm certainly not going to say that there isn't uncertainty in this world and that there isn't a chance that we see a recession or things like that come up. But I think when you look at the performance of this business with a lot of uncertainty in parts of the business where we've been selling them, that should give us a lot of credibility for our ability to execute. And I just want to end with thanking the teams for all of the work that they've done on those points to be able to be in a position where we have records across the portfolio and wish everyone a Happy Halloween and a good start to the holiday season because everything kind of picks up in velocity from here. Thanks, everyone.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time. And thank you for your participation.